Operator: Good day ladies and gentlemen, and welcome to the Resources Global Professionals Q1 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will be conducting a question-and-answer session, and instructions will follow at that time. (Operator Instructions) As a reminder, this conference is being recorded. I’d like to introduce your host for today’s conference Ms. Kate Duchene, Chief Legal Officer. Ma’am, please begin.
Kate Duchene: Thank you, operator. Good afternoon, everyone, and thank you for participating today. Joining me on this call are Don Murray, Executive Chairman; Tony Cherbak, Chief Executive Officer; Tracy Stephens, Chief Operating Officer; and Nate Franke, our Chief Financial Officer. During this call, we will be providing you with comments on our results for the first quarter of fiscal year 2015. By now, you should have a copy of today's press release. If you need a copy and are unable to access one via our Web site, please call Patricia Marquez at (714) 430-6314, and she'll be happy to fax a copy to you. Before introducing Tony, I'd like to read an important announcement about certain statements that we may make during this call. Specifically, we may make forward-looking statements. In other words, statements regarding future events or future financial performance of the Company. We wish to caution you that such statements are just predictions, and actual events or results may differ materially. We refer you to our Form 10-K report for the year ended May 31, 2014, for a discussion of some of the risks, uncertainties and other factors, such as seasonal and economic conditions that may cause our business, results of operations and financial condition to differ materially from results of operations and financial conditions expressed or implied by forward-looking statements made during this call. I'll now turn the call over to Tony Cherbak.
Tony Cherbak: Thanks, Kate, and good afternoon and welcome to the Resources’ first quarter conference call. I’m going to start by giving you a brief overview of our first quarter operating results. Total revenue for the first quarter of fiscal 2015 was $143.4 million, an 8.9% increase from the comparable quarter a year-ago. After excluding the 14th-week included in our fourth quarter of 2014, our revenues declined 2.4% sequentially. The sequential decline results from summer vacations taken by our consultants during the mid July through August timeframe. First quarter gross margin was 39.2%, representing an increase of 150 basis points from the comparable quarter a year-ago and a sequential increase of 30 basis points from last quarter. During the first quarter, our SG&A costs excluding European severance charges were $43.6 million, a $2 million increase from the comparable quarter a year-ago and $1.1 million less than last quarter which consisted of 14 weeks. In Q1, adjusted EBITDA increased 38% quarter-over-quarter to $13.5 million or 9.4% of revenues. Cash flows used in operations was $8.7 million. For the quarter, our pre-tax income was $10.7 million. After applying an effective tax rate of 49.6%, our first quarter GAAP net income increased 46% quarter-over-quarter to $5.4 million or $0.14 per share, which includes $0.02 per share impact from the European severance charges recorded in the first quarter. Excluding the severance charge, net income per share would have been $0.16. During the first quarter, we were pleased to announce 14% increase in our quarterly dividend to $0.08 per share. This marks the fourth consecutive year we’ve increased the dividend. Now let’s go to revenue trends. As we’ve reported in July, weekly revenues during the first six weeks of the first quarter totaled $66.4 million. During that six weeks period, weekly revenues averaged $11.1 million. During the final seven weeks of the quarter, average weekly revenues declined modestly to $11 million per week as summer vacations kicked in. During the first quarter, revenues -- revenue in the U.S grew 13.3% quarter-over-quarter. After adjusting for Memorial Day, which fell in our first quarter a year-ago, but not in our first quarter of fiscal 2015, U.S revenues was still up 11.9%. A portion of our U.S gains were offset by a 12.9% quarter-over-quarter revenue decrease in Europe, which continues to be a difficult operating environment for us. In an effort to improve our European operations, I’m pleased to announce that Mark Campbell will be joining RGP in November as the Vice President of our European region. Mark will be based in London and will be responsible for all aspects of our European operations, reporting directly to our Chief Operating Officer, Tracy Stephens. Mark comes to us most recently from Hitachi Consulting, having previously worked in various client service and operational roles within the consulting industry. During the first four weeks of our second quarter of fiscal 2015, our weekly revenues totaled $44.6 million, which is approximately 5.2% higher than the comparable weeks a year-ago. With that, I’ll now turn the call over to Nate for a detailed review of our financial results.
Nate Franke: Thanks, Tony. As mentioned, revenues for the quarter were $143.4 million versus $131.7 million in the first quarter of fiscal 2014, a quarter-over-quarter increase of 8.9% and a sequential decrease of 2.4%, excluding the extra week in our fourth quarter. Our first quarter revenues were moderately impacted by summer vacations, both in the U.S and Europe. On a constant currency basis, revenue increased 8.7% quarter-over-quarter and declined sequentially by 2.2%, excluding the extra week in the fourth quarter. I’ll now discuss some highlights of our revenues geographically. For the first quarter, revenues in the U.S. were $115.8 million, an increase of 13.3% quarter-over-quarter and down seven-tenths of a percent sequentially on a comparable 13-week basis. For the first quarter, total revenues internationally were $27.6 million versus $29.5 million in the first quarter a year-ago, a decrease of 6.4% quarter-over-quarter and 8.9% sequentially, again on a comparable 13-week basis. International revenue accounted for approximately 19% of total revenues for the quarter compared to 21% last quarter. Europe's first quarter revenue decreased 12.9% quarter-over-quarter and 13.4% sequentially, while Asia-Pacific saw first quarter revenues increase of 1.1% quarter-over-quarter and were flat sequentially. The aforementioned sequential data is again on a comparable 13-week basis. On a constant currency basis, total international revenue decreased 7.1% quarter-over-quarter and 8.3% sequentially on a comparable week basis. On a quarter-over-quarter basis, the U.S. dollar was weaker against most currencies in Europe and stronger in Asia-Pacific. As a result, on a constant currency basis, Europe's revenue decline quarter-over-quarter would have been 15.7% and Asia-Pacific’s increase would have been 2.2%. On a sequential comparable week basis, Europe’s revenue decrease would have been 11.7% and Asia Pacific would have been flat. I’ll now discuss early revenue trends for the second quarter of fiscal 2015. Weekly revenues for the first four weeks of the second quarter totaled $44.6 million. They were $9.8 million during the Labor Day week, $11.5 million, $11.7 million, and $11.6 million last week. As we closed out the summer vacation season, it is nice to see our weekly revenue trends exceeding non-holiday summer weekly levels. Using the average of the recent non-holiday weekly run rate over the remaining weeks of the second quarter and adjusting for certain local and international holidays, we would achieve second quarter revenues of approximately $145.5 million in the second quarter. This computation is purely mathematical and does not consider potential increases or decreases in the weekly run rates over the balance of the quarter. Please note that the Thanks Giving holiday will fall in our second quarter this fiscal year whereas it fell in our third quarter last year. Last year, we estimated the dollar amount of the revenue shift associated with Thanks Giving was $3.3 million. Let me now discuss gross margins. Gross margin for the first quarter was 39.2%, versus 37.7% in the year-ago quarter and 38.9% in the fourth quarter of fiscal 2014. The sequential increase of 30 basis points was slightly higher than anticipated and resulted from a slight increase in bill pay spreads, resulting from a higher percentage of total revenue coming from the U.S. The quarter-over-quarter increase of 150 basis points results primarily from improved build pay spreads of 60 basis points, one less holiday occurring during the quarter, 60 basis points, and lower healthcare costs comprising 30 basis points. Excluding reimbursable expenses, our first quarter gross margin was 39.8%, which compares to 38.3% in the first quarter a year-ago. The average billing rate for the quarter was approximately $123 compared to $125 in the fourth quarter, and $126 in the year-ago quarter. The average pay rate for the first quarter was approximately $62 compared to $63 in the fourth quarter and $64 one year-ago. The primary reason for the sequential decline in hourly bill pay rates stems from a significant client engagement in which a portion of the work is being handled in the Philippines where bill rates and pay rates are much lower than most metropolitan areas. Please remember these hourly rates are derived based upon prevailing exchange rate during each given period. We expect gross margin in the second quarter of fiscal 2015 to decline approximately 70 basis points from the first quarter’s gross margin, resulting from the impact of the Thanks Giving holiday. For the first quarter, gross margin in the U.S was 40.5%, and our international gross margin was 33.6%. Now to headcount. For the first quarter, the average consultant FTE count was 2,365. This compares to 2,309 in the previous quarter and 2,173 in the year-ago quarter. Quarter end consultant headcount was 2,434 versus 2,237 a year-ago. Total headcount of the company was 3,165 at quarter end. Selling, general and administrative expenses, excluding European severance charges for the first quarter were $43.6 million or 30.4% of revenue. SG&A was $41.6 million or 31.6% of revenue in the first quarter of fiscal 2014. During the first quarter of fiscal ’15, we recorded approximately 700,000 of severance cost related to European personnel and anticipate report -- reporting an additional 250,000 in the second quarter. Excluding the aforementioned severance cost, we anticipate SG&A expenses in the second quarter of fiscal 2015 to decrease approximately $600,000 from the first quarter level. Stock compensation expense was $1.5 million or 1.1% of total revenue, similar to amounts recorded in the fourth quarter last year and $200,000 less than the first quarter of fiscal 2014. We’d anticipate quarterly stock compensation expense in the upcoming quarters to approximate the amount recorded in the first quarter. At the end of the first quarter, our office count was 69, 45 domestic and 24 international. During the quarter we opened a small office in Manila to facilitate a significant engagement for a large client. Related to other components of our financial statements, depreciation and amortization was $1.3 million for the quarter, the same as last quarter. We’d expect depreciation and amortization expense for the upcoming quarter to approximate $1.3 million and then decline to $1 million in the third and fourth quarter. Our adjusted EBITDA or cash flow margin which we define as EBITDA before stock compensation was 9.4% in the first quarter, an increase from 7.4% a year-ago and down from 10.5% in the fourth quarter of fiscal 2014. Severance costs reduce our EBITDA margin by 50 basis points. Our pre-tax income was $10.7 million for the quarter. During the first quarter, we recorded a provision for income taxes of $5.3 million, representing an effective tax rate of 49.6%. Excluding the European severance charge, for which we recorded no tax benefit, our first quarter effective rate would have been 46.6%. Our effective tax rate is impacted by our current inability to offset income and tax jurisdictions, in which we’re profitable with losses in several tax jurisdictions in which we are not. Our GAAP tax rate for each of the upcoming quarters is difficult to predict and could be volatile as the rate will be dependent on several factors, including the operating results of our U.S and foreign locations, each of which are taxed or benefited at different statutory rates and the offset of the tax benefit of foreign losses in certain locations by valuation allowances. On a cash basis, our tax rate was about 42% and we expect that rate to continue over the next couple of quarters. For the second quarter of fiscal 2015, we anticipate a tax rate of approximately 48.5% excluding the impact of the residual European severance charges. In summary, including the $0.02 impact of the severance charge, our GAAP per share income was $0.14 during the first quarter. Now to the balance sheet. Cash and investments at the end of the first quarter were $100.1 million, a $14.2 million decrease from the end of fiscal 2014. The decrease stems primarily from cash used in operations of $8.7 million, share repurchases and dividends approximating $8.4 million, offset in part by stock purchases by employees of $3.5 million. Cash flow used in operations during the first quarter was impacted by the payment of annual incentive based compensation and the timing of biweekly compensation payments due to the 14th week in the fourth quarter. Capital expenditures were $400,000 during the quarter. During the first quarter, we repurchased approximately 383,000 shares of our common stock at an aggregate cost of $5.7 million or $14.84 per share. Our current Board authorization for our stock buyback program has approximately $37.3 million remaining. And we will continue to return cash to shareholders through our dividend and share repurchases, while maintaining a balance between the capital requirements of growing our business and fiscal prudence. Our shares outstanding at the end of the first quarter were approximately $38.1 million. Receivables at quarter end were approximately $91.7 million compared to $90.3 million at the end of the fourth quarter. Days of revenue outstanding were approximately 55 days compared to 56 days in the fourth quarter of fiscal 2014. Now, I’d like to turn the call over to Don for some closing thoughts.
Don Murray: Thank you, Nate. We are pleased to see the improvement in our revenue and profitability metrics during the quarter. While I think it’s fair to say our clients remain cautious in managing their initiative based investments, we do continue to see clients commencing projects that they had previously deferred. And additionally, as U.S regulators expand the scope and depth of Dodd-Frank regulations, focus on the financial services industry; our clients require more assistance executing the financial and operational changes that compliance with the numerous regulations required. Last quarter we mentioned the Financial Accounting Standards Board issued a new accounting standard related to revenue recognition. During the last few months, we’ve held several client round tables and other educational seminars for our clients and consultants. While most companies are in the very early stages of assessing this new standard, we believe this presents a significant opportunity for us to assist our clients and targets to implement the standard. For many companies, implementation will require a multi functional effort, including accounting and IT departments at a minimum. And even though it’s still in the early stages of planning, we’ve already been awarded five assignments to assist with this new standard. Let me now share some additional statistics which we believe reflect the continuing health and strength of our core business. Client continuity remains outstanding. During our first quarter we served all of our top 50 clients from fiscal 2014 and 47 of the 50 from 2013. In fiscal 2015, we’ve 237 clients for whom we provide services exceeding $500,000 in fees on a run rate basis, up from $225,000 in 2014. In addition, our top 50 clients represented 41.6% of total revenue, while 50% of our revenues come from 75 clients. Our loyal client following is reflective of our client service approach and the quality of the work performed by our consultants. Our largest client for the quarter was approximately 2.5% of revenues. And through the first quarter, 90% of our top 50 clients have used more than one practice area and 60% of those top 50 clients have used three or more practice areas. This practice area penetration reflects the diversity of relationships we’ve within our client organizations. So this concludes our prepared remarks, and we’d be happy to answer your questions at this time.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Kevin McVeigh from Macquarie. Your line is open. Please go ahead.
Kevin McVeigh - Macquarie: Great, thanks and nice job. With these new assignments, any sense of what that could be worth from a revenue perspective, and then just how is the candidate environment as things start to firm in terms of sourcing candidates?
Tony Cherbak: So, good question, Kevin.
Kevin McVeigh - Macquarie: Thanks, Tony.
Tony Cherbak: The expected revenue streams from the revenue recognition standard will be all over the board. Some of these early engagements are just to evaluate the implementation efforts that it’s going to take to look at this. So it’s like just an assessment versus the actual implementation, so they will vary in size, but we think it can be pretty significant on an overall basis, and they will get more significant as we get closer to the implementation date, but we do believe that there is a lot of work now. Relative to the candidate environment, one of the things that we’ve always been good at is, is recruiting, and we’re kind of a recruiting machine. So we believe that we’ll be able to attract candidates with the relevant experience. We have candidates -- well we have current consultants with the relevant experience. So we’re not really concerned about having the capacity to deal with this revenue recognition standard and implementation for a lot of our clients.
Kevin McVeigh - Macquarie: Perfect.
Don Murray: Let me just add to that. This revenue recognition standard is a global type of standard that has really been adopted in Europe also. So, it’s not just U.S. based multi-nationals, it’s going to be most of the global based multi-nationals are going to have to implement it too, so it’s probably far more extensive than the effort to implement Sarbanes-Oxley, which was just for U.S. registrants .
Tony Cherbak: It’s a converged standard between the FASB and the AISB. So it applies not only to companies that are following U.S. GAAP, but also IFRS.
Kevin McVeigh - Macquarie: Got it. And then in terms of how are things been trending along just in Europe, in general the environment overall?
Tony Cherbak: Well, I would say the European environment is still difficult for us. It’s not all bad news. We have a hand full of offices that are actually growing and growing profitably, but where we’re struggling is really in some of our bigger markets like the Netherlands and Sweden, and that’s what leading to the overall declines in revenues. Tracy, do you want to comment on something. We have Tracy Stephens, our Chief Operating Officer with us and he’s been spending a lot of time on this European issue.
Tracy Stephens: Yes, I guess what I would like to say is it, like Tony said the Netherlands and Sweden are a big focus area for us right now. Some of our smaller markets are trending in the right direction. We started several quarters ago with the pretty extensive plan in Europe and we continue to execute on it. We continue to feel better about where we’re headed down the road, but in the meantime we’re running a stream of trying to get short-term revenue back up over the next couple of quarters if we really focus on the infrastructure and the operating leverage in the platform that we can bring to Europe in general. So, I would say we’re making progress on some of the fronts, but we continue to struggle in a couple of key markets that are really hurting our revenue trends in Europe right now that we hope to turn around in the next time period.
Kevin McVeigh - Macquarie: Got it. Thanks so much.
Operator: Thank you. And our next question comes from the line of Andrew Steinerman with J.P. Morgan. Your line is open. Please go ahead.
Andrew Steinerman - J.P. Morgan & Co.: I wanted to talk about the new momentum in the U.S. business. When I look back at 2014, for your U.S. business, some quarters were up, some quarters were down, and there surely wasn’t a trend and now you have really two solid quarters in a row for U.S. business being strong. Why do you think it’s this part of the cycle for your domestic business to really kick into gear?
Tony Cherbak: Well, I think there’s three things Andrew and it’s -- when we look at what is -- what our clients are buying, we’re doing a lot of services in regulatory compliance for financial services -- for our financial services clients. There’s a lot of M&A activity out there that is also giving us business for M&A integration, and then when we look at this new standard on revenue recognition although the majority of our work currently has been more educational in nature, as Don mentioned we do have a few projects we think that will drive significant additional revenues for us. It’s a good environment in the U.S. and all of our offices now are kind of clicking and contributing.
Andrew Steinerman - J.P. Morgan & Co.: All right. And with the revenue, I mean the regulatory compliance comment Tony, is that stronger over the last two quarter because I work at a bank and it just seems like regulatory compliance needs have been a big focus for years now?
Tony Cherbak: Yes, but it’s always been kind of what has been driving our business in financial services, but over the last couple of quarters it’s been especially intense. So, we’re very pleased with it. When we look at our financial services business, it’s up about 9% this quarter, and it was up last quarter as well. So it’s really driving a lot of revenue these last six months.
Andrew Steinerman - J.P. Morgan & Co.: Right. And when you look at your big four peers, how do you think they are doing now?
Tony Cherbak: I think they’re probably doing a lot of work in the same area as we often times run into them in the proposal processes . I would say that they are the ones that we see most in competing for some of the work that we’re winning.
Andrew Steinerman - J.P. Morgan & Co.: Perfect. Thank you very much.
Operator: Thank you. And our next question comes from the line of Jeff Silber with BMO. Your line is open. Please go ahead.
Henry Chien - BMO Capital Markets: Hi, it’s Henry Chien calling in for Jeff. Did you guys give the hourly bill rate for the quarter?
Nate Franke: Yes, the hourly bill rate was a $123 which was down a couple of dollars from the last quarter. But as we stated, that’s being primarily driven by a large engagement in the Philippines.
Henry Chien - BMO Capital Markets: And you’ve seen a nice uptick in gross margins from bill price spreads and lower healthcare cost. Can you comment on to what extent do you think that can continue for the next couple of quarters?
Nate Franke: Well, obviously as the demand environment improves something our people are constantly trying to do is improve the bill, but pay spread to achieve our long-term goal of that 39% gross margin, so that’s a continual focus. Relative to healthcare, that is something that, over the last several years has been somewhat volatile. We are self insured. We continue to drive in our plans, what we call consumer oriented plans, trying to change -- that brings in changing behavior. But that’s a very hard thing to -- it’s a hard thing to predict quarter to quarter how those costs go. But we’re pleased somewhat with the direction they’ve taken currently.
Henry Chien - BMO Capital Markets: Got it. Okay, thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Mark Marcon with Robert W. Baird. Your line is open. Please go ahead.
Mark Marcon - Robert W. Baird: Good afternoon. Nice to see the strong progress particularly in the U.S. Can you talk a little bit more about the opportunities that are starting to come up? I mean you talked about the five engagements, but what does that pipeline look like six months a year or year and a half from now given that the deadlines are still always out. How do you think that’s going to shape up?
Tony Cherbak: We think it’s going to continue to build momentum Mark, especially as it gets out towards 2017. But if you think about the nature of this revenue recognition standard and what public company they report five years of data in their selected financial data in their 10-K. So they have to get into this now and figure out what the impacts are going to be? What systems changes that they have to make, and just how they’re going to get the whole thing done? This is a huge process for big companies. It could be 50 to 60,000 hours max. So, we think its going to continue to build momentum. But there’s other pieces of our business that are doing equally as well. In the IM space, we’re doing a lot of work around Data Governance, Security, Privacy, BI and such, in accounting and finance which actually, it was kind of nice to see this quarter, it went 16% quarter on a quarter-over-quarter basis. We’re doing a lot of finance transformation. Nate, referenced the project that’s going on down in the Philippines, that’s a big -- that’s a global project that’s just got a lot of work in the Philippines, but that’s all about finance transformation. So, we’re very encouraged by a lot of the different segments in the U.S.
Mark Marcon - Robert W. Baird: That’s great. With regards to that Philippines project, is that for one specific client, and what the duration of that project is going to be?
Tony Cherbak: It is for one specific client and the duration is about roughly we believe it will run over a period of about 36 months.
Mark Marcon - Robert W. Baird: 36 months?
Tony Cherbak: Right. But remember, the bill rates in the Philippines are relatively low.
Mark Marcon - Robert W. Baird: How -- can you size it at all?
Tony Cherbak: No.
Mark Marcon - Robert W. Baird: Okay, but its not going to tail off any time soon. It wasn’t the reason for the big jump?
Tony Cherbak: No.
Tracy Stephens: No, Mark what I would tell you, this is a very large global institution that is basically moving their business on to a global platform and so the work will actually rotate through different regions where the institution has significant operations, so that’s where the clients estimate of the duration is that three year period.
Mark Marcon - Robert W. Baird: Great. And with regards to Europe and specifically the Netherlands, the Netherlands has obviously been for people who have followed you, been a drag for quite some time. What are the specific steps that are going to be undertaken to try to address that, because we tried to address that before?
Tracy Stephens: Well, I would say that we’re -- that’s still ongoing with us. We’ve had extensive conversations and movement in different directions what we try to do in the Netherlands and we’re exploring some different options to leverage that. I would say that operating in Europe compared to RGP and the U.S. culture takes more time than we would like to see some time with some of the environment over there, and it’s something that we certainly see the big opportunity for us to get that area back into a highly leveraged going position.
Tony Cherbak: I would say one additional thing Mark is that, it’s primarily over the years has been kind of an accounting and finance shop. And we are trying to integrate some of the other service lines. I think that’s what will be different about how we go forward with that practice.
Mark Marcon - Robert W. Baird: I see. And with regards to the consultants that you current have in place over there. How stable is that group? In other words, what's your voluntary attrition rate looking like over there?
Tony Cherbak: It’s not much. I would tell you, with the most recent headcount reductions that we’ve had, I would say that the balance of the people are pretty -- are pretty stable.
Mark Marcon - Robert W. Baird: Okay. So, at this point you feel like you’ve -- we just need to see some billings pick up in terms of engagements …
Tony Cherbak: Exactly, that’s what we’re focused on.
Mark Marcon - Robert W. Baird: But you’ve got the right people in place.
Tony Cherbak: We also will add to that team as we add these new service lines around IM and supply chain, we’ll probably have to add a few people with those skills to take advantage of the revenue opportunity over there.
Mark Marcon - Robert W. Baird: And in terms of the addition of Mark Campbell, what were the things that were important in terms of bringing him on board?
Tony Cherbak: Well he’s got experience with Hitachi Consulting. He kind of almost came into the identical situation that we have now kind of slow growth or not -- or very little growth, an unprofitable situation. He was part of a team at Hitachi that turned their business around. So, I believe he’s got the sense of urgency and kind of the background to fix our businesses over there.
Mark Marcon - Robert W. Baird: Great. And then with regards to SG&A on a go forward basis, you obviously gave us guidance for this coming quarter, but how should we think about if we continue to leverage here in the U.S. and gross margins continue to show at least on the bill pay side 60 basis points of improvement. How should we think about the SG&A stability? Where are you from a capacity perspective et cetera?
Don Murray: What I would tell you Mark is, clearly we have -- the capacity varies by region right now. We’re obviously going to actively manage the SG&A trying to continue to leverage revenue growth and take as much as possible to the bottom line. That said and in certain areas like the red compliance we have added some people in the, for the rev rec that have some deep special knowledge to help us sell that work. But what I would tell you is our goal over the near term is to continue to leverage those dollars. But we don’t have necessarily a mathematical computation, because we’ll be opportunistic as we identify the right people with the right skill sets in some of these markets that are growing rapidly.
Mark Marcon - Robert W. Baird: Great. And just to confirm, you did say that the F&A business is up 16% year-over-year?
Nate Franke: Quarter-over-quarter.
Don Murray: Yes, that’s correct. That year-over-year.
Mark Marcon - Robert W. Baird: Great. Congrats.
Operator: Thank you. And I’m showing a follow-up question from the line of Kevin McVeigh with Macquarie. Your line is open. Please go ahead.
Kevin McVeigh - Macquarie: Great. I don’t know if you can, just on that Philippines contract, is it at scale now or would you expect the revenue to continue to step up and then just any sense of the -- I just can't say the size but, is it kind of where its going to be on a quarterly basis or should we expect more revenue contribution from that?
Nate Franke: What I would tell you is, the project is -- I would, right now at the client about half of the folks are on the Philippines, the rest are in different geographic markets. So as they complete work in certain geographies, teams will be moving to other geographies. So I don’t necessarily anticipate that its going to ramp up significantly from here but as the client goes through the implementation process things can always change especially if you’re moving from, there are different geographies.
Kevin McVeigh - Macquarie: Okay. Thank you.
Tony Cherbak: I think one thing to remember Kevin is, we don’t have any client right now that’s greater than about 2% of our revenue. So although this is a good project for us, it’s not the only one that we have going on and it’s definitely not the one that is overly driving the U.S. business.
Kevin McVeigh - Macquarie: And Tony all the revenue, is it all recorded in the U.S. or whatever is done in the Philippines would be international or is it, how does it sit from a revenue perspective?
Tony Cherbak: Wherever the people’s feet are on the ground is the geography that the revenue is in. So, Philippines is included in the Asia-Pac region.
Kevin McVeigh - Macquarie: Great. Thank you.
Operator: Thank you. And I’m showing no further questions at this time, and I would like to turn the call back to Tony Cherbak for any further remarks.
Tony Cherbak: Well, thanks everybody for joining, and we look forward to talking with you again when we report our Q2 earnings. Thank you.